Operator: Good morning, and welcome to the Silvercrest Asset Management Group, Inc. Q1 2025 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions]. Please note this event is being recorded. Before we begin, let me remind you that during today's call, certain statements made regarding our future performance are forward-looking statements. They are based on current expectations and projections, which are subject to a number of risks and uncertainties. And many factors could cause actual results to differ materially from the statements that are made. Those factors are disclosed in our filings with the SEC under the caption Risk Factors. For all such forward-looking statements, we claim the protections provided by the Litigation Reform Act of 1995. All forward-looking statements made on this call are made as of the date hereof, and Silvercrest assumes no obligation to update them. I would now like to turn the conference call over to Rick Hough, Chairman and CEO of Silvercrest. Please go ahead.
Richard Hough: Good morning, everyone, and welcome to our first quarter 2025 conference call for Silvercrest. We experienced strong new client organic flows of $0.4 billion during the first quarter this year. The new assets under management follow on the significant new client flows of $1.4 billion in the fourth quarter of 2024 or a total of $1.8 billion over the past two quarters in new client accounts. Our first quarter's new client account flow was in itself stronger than some recent years in total. And Silvercrest strategic investments continue to promote our growth. The increases during the quarter bode well for future revenue and we remain highly optimistic about securing more significant organic flows over the course of 2025 as we discussed during our last call. Total AUM did decline during the quarter as a result of highly volatile markets amidst global economic and trade concerns and our discretionary AUM now stands at $22.7 billion as of the end of the quarter, which is flat year-over-year and our total AUM was $34.3 billion. We expect continued market volatility to affect our short term results and top-line revenue. That said, we believe market and economic dislocations present meaningful opportunities for our business. Strategically, we will continue to pursue more initiatives to better highlight Silvercrest in both the institutional and wealth markets. The firm has invested in talent across the firm to drive new growth and successfully transition the business toward our next generation. The new business pipeline remains robust. Silvercast will continue to monitor and adjust our interim compensation ratio to match important investments in the business as long as we have compelling opportunities to grow the firm and build our return on invested capital. We will keep you informed of our plans and the progress of these investments. We also completed a $12 million stock repurchase program. We will continue to look for opportunities to return capital to or accrete shareholders, especially as we invest in the business. Our strong balance sheet supports ongoing capital returns as well as our growth initiatives. On May 5th, the company declared a quarterly dividend of $0.20 per share of Class A common stock and that will be paid on or about June 20th of this year to stockholders of record. Scott will now cover our financial highlights, and then we'll go to questions. Over to you, Scott.
Scott Gerard: Thank you, Rick. So as disclosed in our earnings release for the first quarter, discretionary AUM as of March 31st was $22.7 billion and total AUM as of the same period was $35.3 billion. Revenue for the quarter was $31.4 million and reported consolidated net income for the quarter was $3.9 million. Revenue for the quarter increased year-over-year by $1.1 million or 3.7%, primarily driven by market appreciation during the 12-month period. Expenses for the quarter increased year-over-year by $2.2 million or 9%, primarily driven by increased compensation and benefits expense and general and administrative expenses. Compensation expense for the quarter increased year-over-year by $1.2 million or 6.9%, primarily due to increases in equity-based compensation and salaries and benefits expenses, primarily as a result of merit-based increases, partially offset by decreases in the accrual for bonuses and a decrease in severance expense. General and administrative expenses increased by $1 million or approximately 14.6%, primarily due to increases in professional fees, portfolio systems expense, recruiting costs, marketing and advertising and travel and entertainment expenses. Reported net income attributable to Silvercrest or to Class A shareholders for the first quarter was approximately $2.5 million or $0.26 per basic and diluted Class A share. Adjusted EBITDA, which we define as EBITDA without giving effect to equity-based compensation expense and non-core, non-recurring items, was approximately $6.5 million or 20.7% of revenue for the quarter. Adjusted net income, which we define as net income without giving effect to non-core and non-recurring items, and income tax expense assuming a corporate rate of 26% was approximately $3.9 million for the quarter or $0.29 and $0.27 for adjusted basic and diluted earnings per share, respectively. Adjusted earnings per share is equal to adjusted net income divided by the actual Class A and Class B shares outstanding as of the end of the reporting period for basic adjusted EPS. And to the extent dilutive, we add unvested restricted stock units and non-qualified stock options to the total shares outstanding to compute diluted adjusted EPS. Looking quickly at the balance sheet, total assets were approximately $159.9 million as of March 31st compared to $194.4 million as of the end of 2024. Cash and cash equivalents were approximately $36.3 million as of March 31st compared to $68.6 million at the end of 2024. Please keep in mind that cash at March 31st is net of the payout of 2024 bonuses. There were no borrowings as of March 31st, and total Class A stockholders' equity was approximately $80 million as of the end of the first quarter of this year. That concludes my remarks. I'll now turn the call over for Q&A.
Richard Hough: Thank you, Scott. We're ready to take questions. Thank you.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. Our first question comes from Sandy Mehta with Evaluate Research. Please go ahead.
Sandy Mehta: Yes, thank you. Good morning. Could you comment and give a little bit more color on the pipeline and what you're seeing for OCI as well as global going forward?
Richard Hough: Sure. Thanks, Sandy. Good morning. A couple of broad comments on the pipeline. With regards to OCIO and the pipeline overall, I think I mentioned last quarter, we're in an environment where the nature of searches has really changed a lot. It's no longer really an RFP game. It's about cultivating consultant relationships, putting yourself in a position where you're invited to participate in the search. And very often, you're getting a call incoming identifying that there is interest in one of our strategies and asking us to participate. So, we've been working very hard on building those relationships. We've always had very good consultant relationships, Sandy. Domestically, we've been expanding them internationally. And part of the investment that we've been making in the firm has been to make sure that we're making -- taking advantage of those opportunities, especially broad. So, some of the hiring is with regards to client care and business development with those consultants. So that said, I mentioned that I'm not going to be measuring the pipeline going forward as we had in the past. Traditionally, we had a great process of being able to keep shareholders up to date on an apples-to-apples basis. But we're beginning to feel that that's not quite credible. So I'm going to speak this morning more about the color of what we're feeling and happy to talk more about it. Generally speaking, I feel very, very confident about the pipeline we have in global value in particular. As I've said, the potential there is absolutely enormous. The number of contacts that we have globally are very strong. And I feel optimistic not only about a very large second seed investment at some point in 2025, but follow on flows into that strategy. We're about to complete the building of an Australian trust along with potential distribution so that we can take in other assets aside from institutional assets in that strategy. We're working on a UCITS in Europe for that and other strategies at the firm. So I'm quite optimistic. OCIO pipeline has slowed lots of activity in the pipeline, but nothing I would measure really strongly in the pipeline. I remain optimistic that those flows will pick back up. Currently, that strategy stands at about $1.8 billion at the firm. Our international value strategies have put up absolutely top tier great numbers. There's lots of good activity around that and I feel quite strong about our ability to build those assets. So there's quite a few areas of the firm that I feel strongly about in terms of our growth looking out over the next two or three years, which should really help. So generally, as you would take from my introductory remarks, quite positive tone about what we're seeing. Now, the only negative I would point out is that, of course, we had a pullback in AUM due to volatile market Sandy and that overwhelmed good news. It's going to happen at our size. Nothing we can do about it. As you know, that's just part of the business. It's going to come up and help us sometimes. It's going to hurt us. So important to look at what's happening organically and I feel very strongly that the organic picture looks very good. However, when you have market turmoil like this, as much as I like the opportunities for the company and what we can do, and we've always performed well in those environments, happy to talk more about it, it also means that asset allocators, not unlike investors generally in the high net worth space or elsewhere, kind of looking around, taking a pause, thinking carefully about what they're going to do. So the effect of this volatility, uncertainty about global trade and the global macro environment, it certainly can hurt us short term as it did in the first quarter. Obviously, markets have become more constructive since then thankfully, although they were down I guess in April as well to some extent. It also affects the search environment. So we are going through a little bit of period here of hesitation that we've got to work through, but it doesn't change my medium to long-term optimistic tone.
Sandy Mehta: And in the global area, your team is now fully built out and how is the investment performance result? Is that still been quite satisfactory?
Richard Hough: Just about fully built out. We're still working on those consultant with business relationships that I told you about. And as the assets grow there, there may be some other things that we'll add, but we've added analysts, we've added business development support, we've added international trading, et cetera. So yes, we're getting there. I'm sorry, the second part of your question, Sandeep was performance that you made.
Sandy Mehta: Yes, performance is good?
Richard Hough: Performance is outstanding, very, very good, not only against the value benchmark they measure against, but against the core benchmark, which interestingly we've been beating. So we're going into the market not just with a great win and potential big pipeline, but we're going into the market with very, very strong performance. And that performance by the way was very good despite the volatile markets. It was not just relative outperformance, we had good absolute performance in that strategy, so quite remarkable.
Sandy Mehta: Okay, great. And it was good to see the buyback. So could you just update us at what price you bought back stock and where are you now in the authorization looking forward on the buyback?
Richard Hough: Yes, we're done with the buyback. We authorized $12 million. We finished it, I believe what are we in May? We finished it last month. We felt really good about the buyback over the past two months or so. We were able, you may have noticed a really nice volume uptick in our stock. We were able to affect some block trades, which was part of that higher volume. We've been working closely to identify where we can buy stock back. So we felt great about that execution. We felt good about being able to do it in volume rather than being subject to just the daily volume restrictions. So we'll be looking at that and perhaps some other things going forward if we were to announce another buyback. With regards to buybacks in particular, there's a reason I mentioned it in my introductory remarks. I think at a time when we see so much opportunity that we have to invest in the business and admittedly, hit EBITDA and earnings the way we have, that it makes sense that we have the capital to accrete shareholders or return capital depending what their wishes may be at the same time that we're doing that. And we're in a really nice position with a super healthy balance sheet and capital structure where we can contemplate such a thing. I think it's a great investment on behalf of shareholders given the potential I see. And so we will be evaluating that once again since the $12 million buyback is complete.
Sandy Mehta: All right, great. Thank you.
Richard Hough: You're welcome, Sandy. Thanks.
Operator: Our next question comes from Chris Sakai with Singular Research. Please go ahead.
Richard Hough: Good morning, Chris.
Christopher Sakai: Yes, good morning, Just wanted to talk, ask about the global expansion. How are things in Europe and Singapore? And can you add some color as to the AUM there?
Richard Hough: Yes. The AUM is a little difficult and I'm not going to go about measuring that in our calls, Chris, because we have clients who may be domiciled in South Asia or in Europe, but they may have accounts here in the United States or other offshore places, yet they themselves we consider Southeast Asian or European clients. We've long had them. And that includes across both the institutional and high net worth businesses. Given the global nature of families in particular, you'd be hard pressed to say sometimes whether they're in New York, Singapore or Europe. So I'll give you more color instead of absolute AUM numbers because we've always had those clients. And in particular, we see strong opportunity based on the meetings we're having and in fact new clients that we've received, and I'll talk about the build out. With regards to Europe, on the high net worth side, first and foremost, we've always had very significant relationships there, Netherlands, Switzerland, Germany, U.K. and offshore places that you would consider "European." We also have new relationships, as you know, in Poland, which is an incredibly fast growing economy. I think I've mentioned before, just as an example, now wealthier per capita than the U.K. and will soon, on a per capita basis surpass Japan, meaning this year or next year, a real dynamo in Europe. And we're excited to be kind of an early mover with some of those families. What we're changing is the fact that we would like to be able to proactively market in Europe. We can't do that. Right now, we can only take inbound calls and people who are expressing interest in Silvercrest reaching out to us. So we've done well with people just reaching out to us. But what we have done and we'll be spending capital on, Chris, is we've established a European entity. We are going through the process of working with the regulators so that we are licensed to proactively market and be a fully licensed participant in the European market. We'll be pursuing a U.K. presence as well and have been laying the groundwork for that frankly for probably six years. We're very diligent and careful before we step in and commit meaningful amounts of capital. And so that process is proceeding, and we will have our European license so that we can much more proactively market. I would say, within the next up to be conservative eight to 10 months. But I think it will be sooner than that, could be as soon as six months, something like that. In Southeast Asia, as you know, we're fully licensed in Singapore, the MAS. We now have people there. We will be adding people there given the opportunities that we see in the meetings that we've been having with prospective clients. We do have clients in Southeast Asia, including in Singapore. I just got back from a trip with potential partners and OCIO clients as well as to meet talent who can bring in AUM. So we'll keep you posted on that. We've taken a very long steady approach. Again, this has been a multi-year effort that we've been very careful about committing capital to until we know that we can succeed and we're kind of at that point where I feel we can do so. On the institutional side, you well know that the global value strategy, in particular, our international value strategy as well are seeing significant interest from that side of the planet, whether that's in, which is called broader Asia or in Australia. That remains very, very promising. It's very important for us to have a presence in that time zone to help us execute that business. With regards to Europe, we've always had institutional business in Europe. We have people who distribute for us there. We have a good relationship, I've mentioned before with Edmond de. Rothschild. There are other partners we're working with, who will be marketing on our behalf. I told you about the usage just a moment ago that we're building on behalf of the global value strategy and other strategies. So those obviously are all European based flows and I expect a lot more to come of that given our consultant relationships.
Christopher Sakai: Okay, great. Thanks for that answer. And just on the share buyback, can you share any color on potentially a new buyback and the amount there and how much that would be?
Richard Hough: I think I've given comments that we're very seriously looking at it, Chris, and why we would want to execute it as we -- especially as we make investments that at least for the meantime have a higher compensation ratio for the firm and therefore hit our earnings and EBITDA. We're very conscious of that. We feel great about what we're doing. We forecast what we were doing explicitly for a long time before we did it. And I think we've strategically laid out our plan. I'd like to return capital to our shareholders or accrete them, while we do this, so that they can benefit at what I think is a good entry point as we see this growth occur just as I've announced these new accounts that have come in the past two quarters. But we will assess the amount and when that may occur. I'm not ready to make announcements along those lines at this time.
Christopher Sakai: Okay, great. Thanks for the answers.
Richard Hough: Thank you, Chris. Appreciate the questions.
Operator: [Operator Instructions]. Our next question comes from Christopher Marinac with Janney Montgomery Scott. Please go ahead.
Richard Hough: Hi, Christopher. Good morning.
Christopher Marinac: Hey, good morning. Thanks for hosting us this morning. Rick and Scott, I want to drill down on expenses and kind of the timing of sort of getting additional revenue versus expenses. It's the old fashioned operating leverage question. I know you've run this quarter-to-quarter?
Richard Hough: Its super hard to give clarity to, to be honest. But yes, okay, go ahead.
Christopher Marinac: But the big picture is still to kind of get that positive crank as you think about it year-to-year and perhaps we should think about this year-over-year and last quarter-to-quarter. But I'm just curious how you think about that in the big picture. It's less about next quarter and more about kind of how you look at running the business. So I know it's a long term focus and goal for you?
Richard Hough: Yes, it really is. And I think the last call I talked about working through this through the end of 2026. And part of the reason is this, let's tear apart the -- and obviously, this is a much longer play than that. But you're asking about the operating leverage. I get it. I think we're going to grow into it. But let's break it apart. First of all, we have the investments we've made in the global value equity team. We've built out a lot about out on that team, but there's a bit more to come. The pipeline there is huge, absolutely enormous. I do think, as I've mentioned across that, the international value team, which is separate from the global value team, as you know, and our other growth and value equity capabilities are hurt right now a bit by the global macro environment and trade environment just as the markets came down. So the search environment was slowing a bit. But I feel very strongly that the opportunity is significant. That team on its own is going to go -- is going to grow year-over-year definitely through those costs and start giving us leverage. And of course, it's a nicely leverageable business, which will benefit the entire firm. So I feel strongly about that. These flows can be so big that I hesitate to give you a forecast on what that can really mean for the firm. Timing is everything, of course. And there's a lot of variability when you're talking about large flows like that. So the best I can say is that I'm optimistic. And I would hesitate to say more, but very bright. Then we have the investments in Southeast Asia, which has been ongoing and the new investments we're making in Europe. We're also, as you know, building out organic growth in Atlanta, Georgia. So there are people we're hiring there and have been. There are capital expenditures with regards to those locations. They hang together with the global impression we're making with our strategies. We've always done things where the institutional business is applicable and related to the high network business. I'm not building a firm where you're doing something disparate over there and you've got strategy B that doesn't hang together with attracting very significant large families. Those, by the nature of the high net worth business, are slower growing. The advantage there, of course, Christopher, is that they are very, very sticky assets and a very different business once you get that crank going. And we have a history of being able to organically grow that business, which is incredibly difficult. So that's going to take a bit more time as we lean into it. But in our experience, when you have the kind of environment we do, when you have the quality of the firm that we do and the nature of what we can do on an institutional level for these families that help Silvercrest stand apart, we succeed. And that requires a bit more patience. So the ultimate leverage, obviously is going to be on the institutional side, and the faster growth is going to be on that side, not surprisingly. Adds more leverage to the business, can grow faster. The other investments we make are going to be slower and stickier. It's very hard to say how that plays out, but that's going to be a longer term game for sure. So I do expect to see increasing margins year-over-year, especially as markets even out at some point as we could get to some trade deals that should add operating leverages. I would love to see the pendulum start swinging back towards our normalized EBITDA margins. It's certainly my expectation that year-over-year we will make progress. We're not going to be back to normal, however, in the high 20s or low 30s unless there were really, really big flows and have supportive markets at the same time. So therefore, I'm still looking out at least through the end of 2026 and we'll keep folks updated. But look, I feel very good. We've seen almost $2 billion in net new client accounts over the past two quarters. We were only hurt by the declining markets in the first quarter. The closed accounts were very attenuated. And so with a bit more supportive markets and some more flows, that's some pretty significant progress already, especially if I were to pause investments. So I feel good year-over-year, feel great as we look through 2026. It required more color than its firm stats. I can't predict the future fully.
Christopher Marinac: Yes. Understand. And I guess at the end of the day, as long as I've covered you, we see the AUM come in and then your ability to retain that has been very good. Obviously, markets move quarter-to-quarter, but that's the point, you're going to bring that AUM in and the revenue was.
Richard Hough: Exactly. I will also mention we might take a bit of a pause. And I'm not saying that I already know anything. We were only a month into this quarter. But we may take a pause in the second quarter. That's okay. And the reason I say that is, clearly, the search environment is affected by the current global macroeconomic environment. Okay, let's look through that. So what. This is a long-term business, number one. Number two, there's always a potential for some tax outflows during the second quarter. There are two tax payments that are due. That's always going to be a bit of a headwind even with supportive markets. We see that every year. Last year was again a very, very good capital gains year for a lot of our clients. I don't know how that's going to shake out, but it's worth keeping in mind. And then we need those supported markets as well.
Christopher Marinac: Great. And last question for me, there's been a lot of macro conversation in the last five, six weeks about international investors pulling capital from the U.S. and going back home. Do you see any of that? And is that an issue for Silvercrest at all? Or can you work through that given some of the other global strategies that you're now employing?
Richard Hough: We can work through that. First of all, the vast majority of our assets are U.S. based. So not a significant issue for us. Secondly, we do have a global strategy. We have an emerging market strategy. We have an international strategy. Those are, by definition purchasing companies in around the world. And from what I see, there's tons of capital that needs to go into those strategies. And whether it's local currency or U.S., I don't see that changing. The United States is the world's largest economy. When we buy things in the rest of the world, the rest of the world ends up with dollars. Those dollars have to go somewhere. And I don't see that significantly affecting us or changing the environment. I just got back from Asia. I didn't see any personally subjective color. There may be talk and at the margins there may be some of those moves, but look, it's a big world. We're a small company. There's a lot of opportunity. And we were meeting with people because they were interested. So I don't think that's a really significant issue for us at this time.
Christopher Marinac: Great, Rick. Thank you for the background. I appreciate all the information today.
Richard Hough: You're welcome, Christopher. Thanks for the questions.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Rick Hough for any closing remarks.
Richard Hough: Great. Thank you. I appreciate everyone joining us for this first quarter of 2025 call, the good questions. Also greatly appreciate our shareholders who have been encouraging with regards to our long-term strategy and the investments we're making. I just want to make it clear to anyone, Scott and I are always available to take questions, talk about what we're up to. And we're pretty excited over the next, call it, year and certainly very excited for beyond that given what we're building at the firm. Thanks again, and look forward to talking to everyone soon.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.